Operator: Hello, and welcome to the Yatra Online, Inc. Q4 2024 and Fiscal Year 2024 Financial Results Earnings Call. My name is Carla, and I will be coordinating your call today. [Operator Instructions] I will now hand you over to your host, Manish Hemrajani to begin. Manish, please go ahead.
Manish Hemrajani: Thank you, Carla. Good morning, everyone. Welcome to our fiscal fourth quarter and FY '24 financial results for the period ended March 31, 2024. I'm pleased to be joined on the call today by Yatra's CEO and Co-Founder, Dhruv Shringi; and Group CFO, Rohan Mittal. The following discussion, including responses to your questions, reflects management views as of today, May 31, 2024. We don't take any obligation to update or revise the information. Before we begin our formal remarks, let me remind you that certain statements made on today's call may constitute forward-looking statements, which are based on management's current expectations and beliefs and are subject to several risks and uncertainties, that could cause actual results to differ materially. For a description of these risks, please refer to our filings with the SEC and our press release filed earlier this morning on the IR section of our website. With that, let me turn the call over to Dhruv. Dhruv, please go ahead.
Dhruv Shringi: Thank you, Manish, and good morning, everyone, and thank you for joining us for our fourth quarter and fiscal 2024 earnings call. We are pleased to report a solid 2024 fiscal year with an annual reported revenue of INR4.2 billion, up 11% year-over-year with air passenger volumes up 24%, nearly double the industry growth rate of 12%. For fiscal year '24, we largely met or exceeded all our analyst expectations. On a quarterly basis, gross bookings expanded 12% year-over-year in the fourth quarter of fiscal '24, driven by a 13.5% growth in air gross bookings. This growth was fueled by a robust rebound in international travel. Additionally, our adjusted EBITDA margins expanded by approximately 6% sequentially, reaching INR110 million, approximately $1.3 million from INR44.5 million in the previous quarter. This was on account of optimization of customer inducement costs in the B2C business and recovery in the corporate travel business. Overall, from a domestic air passenger perspective, the quarter was soft due to supply side constraints with the largest airline in India having taken out capacity for engine repairs related issues. We expect supply side constraints to start improving in the second half of the year and expect between 100 to 150 incremental aircrafts being in operation by the same quarter of fiscal '25. For the quarter ended March 31, 2024, we reported revenues of INR1.07 billion, which is approximately $12.9 million, down 10% year-over-year and adjusted revenue of INR1.79 billion, approximately $21.2 million, down 6.6% year-over-year largely due to the impact of catch-up income in the same quarter last year coming out of COVID of approximately INR190 million. Excluding the benefit and comparing on a like-for-like basis, revenue was up 6.4% year-over-year and adjusted revenue grew 3.5% year-over-year. Our strategy to balance our consumer and corporate business while focusing efforts on the more profitable corporate business is resulting in a more favorable profit mix for us. During the fiscal year of 2024, we signed 83 new corporate customers, which translates into annual billing potential of INR5.4 billion. In the March quarter alone, we signed 25 new corporate clients. During the year, we landed numerous deals with large and industry-leading companies like Aramco. And during this reporting quarter, just to give you a few examples, we won two large MNC customers, signed up a large private sector bank, a large pharma company and one of India's largest manufacturing conglomerates. Our consistent win and high customer retention provides concrete evidence of our team's relentless pursuit to expand our corporate share and provide service excellence. Furthermore, we continue to work on expanding our software services to further expand our total addressable market and better serve our existing and future clients. To that end, earlier this week, we announced the launch of our Expense Management Solution. Yatra's Expense Management Solution stands out with its utilization of cutting-edge technologies, including GenAI and large language models for receipt analysis. And unlike traditional OCR technology, this ensures more accurate and comprehensive expense tracking, significantly reducing errors and saving time. It also features an integrated chatbot based on GenAI and RAG models. Our Expense Management Solution is designed to grow with our clients, offering scalability and flexibility as their businesses evolve. We now have the opportunity to cross-sell this solution to our already well-established corporate and SME customer base. Now let me provide you with some more details on our fourth quarter. Travel volumes in the IT sector continued to remain soft in Q4. However, we are pleased to announce that volumes in the corporate segment overall for us are now back to pre-COVID levels with IT sector softness offset by customer wins earlier in the year. We are increasingly optimistic with our ability to grow our corporate business through new customer wins and the potential of cross-selling new products such as expense management in the future. In the current quarter, incidentally, we've also begun to see recovery in most of our IT services customers. As you may recall, Yatra had initiated a share buyback program in the US, authorizing a repurchase of up to $5 million of our NASDAQ listed YTRA shares. We are pleased to announce that under this program, we have repurchased 3.18 million shares for approximately $5 million, and the repurchase has been completed. Going forward, we continue to evaluate strategic corporate actions based on our dedication to maximize shareholder value. In terms of recent initiatives, I would like to take the time to highlight some of the most strategic initiatives which we've undertaken to expand our position in the market and enhance our technology solutions. In the recent months, we have launched a new UI and improved our domestic flight search platform. This enhancement is designed to provide a more seamless and intuitive booking experience to our customers, driving greater engagement and satisfaction. One of the three features of this UI is its focus on upselling ancillary products, which offer additional value and convenience to travelers. These products include premium seats, travel insurance, additional baggage allowance and the ability to offset the carbon footprint. By integrating these offerings more prominently into the booking process, we aim to not only enhance the overall travel experience but also increase our revenue streams. The revamped UI is not just about adding new features, it also includes significant improvement in functionality and design. The user-friendly layout, faster boarding times and enhanced search capabilities make the booking process smoother and more efficient. We've also incorporated personalized recommendations based on customer preferences and booking history, further enhancing the user experience. Additionally, on the corporate side, we've launched a guest house booking platform for our corporate customers. This new service is designed to provide companies with convenient and comfortable accommodation options for their employees. And by offering guest houses, we provide customers the option of being able to optimize their lodging spend. To further touch upon the capabilities of the Expense Management Solution that I mentioned earlier, the Expense Management Solution includes multilevel approval process, seamless integration with ERP systems, advanced analytics powered by Power BI dashboards and deep insights for comprehensive expense analysis. The expense management is a large and highly profitable segment and our product capabilities make it a product that is suitable not just for the Indian market, but for international markets as well. Our initial response from customers has been very encouraging, and this solution allows us to further deepen our relationship with our customers. This also provides us with an opportunity to differentiate our offerings from our competitors by effectively offering a bundled solution. We recently also got on Board a senior executive who was prior to this, the CEO of one of the large corporate travel management companies in the country. This gentleman has joined us as a Chief Business Officer for new business developments. He will be responsible for building and further enhancing Yatra's mid-market and SME corporate travel proposition and developing new products such as Visa facilitation and car rentals for business travelers. This will help diversify our financial revenue streams. He brings with him a wealth of knowledge and experience and the capabilities that will be fundamental to help expedite our presence in the mid-market travel management space. In addition, we have also built out a team that is focused on the highly profitable MICE segment and the initial traction on that is very encouraging. While these additions have led to an increase in salary costs in the quarter under discussion, we expect the benefit of these to start accruing in the near term itself. Now looking at the broader Indian economic landscape, as per the Reserve Bank of India, despite subdued global economic activity and multiple headwinds, the Indian economy expanded impressively with real GDP growth accelerating to 7.6% in fiscal year '24 from 7% in the previous year. This is the third successive year of 7% or higher growth. The RBI further highlighted in its recent report that the easing of supply chain pressure broad-based softening in the core inflation and the early indications of an above normal Southwest monsoon augur well for the inflation outlook of '24, '25. The domestic economy is expected to continue growing at an accelerated rate as the government invests heavily into public infrastructure. India's ambitious goal to be a INR5 trillion economy by 2025 has driven planned investments worth INR1.4 trillion in the national infrastructure pipeline. This unparallel growth in infrastructure injection bodes well for our industry as these investments are translating [Technical Difficulty]
Manish Hemrajani: Hello, operator.
Operator: Hello. It seems that we have just lost connection with the speaker. Please stand by while we get connected. We have the speaker back in the room now. Please, you can continue.
Dhruv Shringi: Thank you. Thank you. So just to summarize, we continue to expect to benefit from the accelerating growth in our corporate travel and consumer business as we work to repeatedly win major customers and build up the value of our brand. We have seen improving supply and margins and continue to expect further improvement in the quarters ahead. This should help meaningfully contribute to our operating performance going forward. With that, let me hand it over to Rohan to walk you through the details of the financial performance. Rohan?
Rohan Mittal: Thank you, Dhruv. Good morning to everybody. I will now review our numbers for the quarter ended 31st March 2024, followed by the full year fiscal '24 results. We delivered a strong quarter with 12% year-on-year growth in gross booking to INR19.96 billion, which is about $239 million. Our air gross bookings grew by 13.5% Y-o-Y while the hotel and packages gross bookings grew by 5% on a Y-o-Y. Our overall adjusted margin for the quarter was INR1.6 billion, which is roughly $18.8 million. Our adjusted margins for the Air Ticketing business were at 7.3%, while the hotel and package margins were at 13.1%. Moving to expenses. Our marketing and sales promotion expenses, including consumer promo and loyalty, as a percentage of the total gross booking volume decreased by 100 bps to 4.85% in quarter 4 '24 versus quarter 4 '23. Our personnel expenses, excluding the share base payment, increased by 19% Y-o-Y as we continue to build out teams for mid-market [miles] (ph) and other business expansions. Other costs have remained range-bound compared to the year-ago quarter. For the full year fiscal 2024, we reported a revenue of INR4.2 billion, which is roughly $51 million, reflecting an 11% growth in FY '24 versus FY 2023. On a full year basis, our gross booking value increased by 13% to INR76 billion, which is roughly about $911 million in FY '24. Our overall adjusted margin for the full year was INR5.9 billion, up by 5% compared to FY '23. Our overall adjusted margins on a percentage basis for air business was 7% for FY '24 and for hotel and package business is 13%. Adjusted EBITDA was INR304 million, which is roughly $3.7 billion in FY '24 compared to INR423 million in FY '23. Lastly, as of 31st March 2024, we were carrying cash and cash equivalents of INR4.5 billion, which was roughly $54 million on our books. Our gross debt was down to INR638 million, which is roughly $7.7 million as of 31st March 2024. With this, we conclude our prepared remarks, I'd like to hand it over back to the moderator for the Q&A. Thank you.
Operator: [Operator Instructions] Our first question comes from Scott Buck from H.C. Wainwright.
Scott Buck: Hi. Good morning, everyone. Thank you for taking my question. Dhruv, I want to ask about the expense management tool announcement earlier in the week. I'm curious, are you currently actively selling the product into the corporate space? And two, what kind of sales and marketing push should we expect in the quarters to come as you completely roll that out?
Dhruv Shringi: Good morning, Scott. So, Scott, this is a product that we recently launched in the market. We've done a soft beta test before this for the last month or so before taking it out to market now. And the initial response is very encouraging. We've had some discussions with some of our large existing customers and midsized existing customers, who've shown keen interest in the product and the solution that it offers to them. So we will see, firstly, a big push in terms of cross-selling to our existing customer base. And then in parallel, we will, as we go into the new features, offer this as a bundled solution to the new customer base that we are reaching out to. So for us, this is a -- I feel a very large opportunity that they're just beginning to tap into. And over the course of the next few quarters and years, we expect this to evolve into a very meaningful revenue stream for the company.
Scott Buck: Great. That's very helpful. And this was another nice quarter of corporate client signings. I'm curious when the comps start to get more difficult in terms of who you can sign. I mean you guys have made some meaningful headway on the share side. So just curious how much runway you have left before things start to get more challenging there.
Dhruv Shringi: So, I feel we still have a lot of runway in this in terms of number of customers. We are looking at an initial market size of about 13,000-odd corporations in which we are just at about 850. So we feel there's a lot of runway still left in the market before we can start facing any slowdown.
Scott Buck: Perfect. That's really helpful color. And then just the last thing for me, I want to clarify, the pricing headwinds, it sounds like you expect them to ease in the second half of the year. That's the second half of calendar 2024, right, not second half of your fiscal 2025.
Dhruv Shringi: Yes. In the second -- see, the feedback we have from the airlines is that we should start seeing some of the capacity come back in the month of July, August. And from there on, then gradually capacity coming back before getting back to full steam by Jan, Feb, March of 2025. So I'm hoping that the capacity will continue to come back in line with the plans which the airlines are referring to.
Scott Buck: Okay, perfect. That's helpful. I appreciate the added color, guys. Thank you very much.
Dhruv Shringi: Sure. Thank you, Scott.
Operator: [Operator Instructions] As we currently have no further questions, I will hand back over to Manish Hemrajani for final remarks.
Manish Hemrajani: Thank you, Carla. Just want to thank everyone for joining the call today. As always, management is available for follow-ups. Please feel free to reach out for the same. Thank you.
Operator: Thank you for joining, and this concludes today's call. Have a nice day. You may now disconnect your lines.